Operator: Welcome to the J & J Snack Foods Second Quarter Earnings Conference Call. My name is Vanessa [ph] and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorder. And I will now turn the call over to Gerry Shreiber, CEO. Sir, you may begin.
Gerry Shreiber: Thank you, Vanessa. And good morning everybody. Let me begin with the obligatory statements. Oh, before that, with me today is Dennis Moore, our CFO; Ted Shepherd, our CED; Bob Radano, our COO of Food Service; Bob Pape, Senior Vice President of Sales; and Jerry Law, Senior Vice President and assistant to me. Let me begin with the obligatory statement. The forward-looking statements contained herein are subject to certain risk and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. You’re cautioned not to place undue reliance on these statements which reflect management’s analysis only as of the date hereof. We undertake no obligation to publicly revise or update these statements to reflect events or circumstances that arise after the date hereof. We had a good quarter overall. Net sales increased close to 10% for the quarter and 7% in the six months. Excluding sales of Philly Swirl, which was acquired in May 2014, sales increased 7% for the quarter and 5% for the six months. For the quarter, our net earnings increased by 8% to $14.6 million or $0.78 a share from $13.5 million or $0.72 a share a year ago. For the six months, our net earnings were essentially the same as last year at $25.9 million or $1.38 a share. And what that really means, we caught up after a slight aberration in quarter one. Our EBITDA for the past 12 months was $149.8 million. Food service. Sales to food service customers increased 5% for the quarter and 4% for the six months, and large part due to increased sales to school food service customers and convenience stores. Soft pretzel sales alone were up 6% for the quarter and 4% for the six months. Italian ice and frozen juice bar and dessert sales were down 7% in the quarter and 4% in the six months. Churros sales were up 9% in the quarter and a little less than 1% for the six months. Bakery sales were up 7% in the quarter and 7% for the six months. Retail supermarkets. Sales of products to retail supermarkets were up 24% for the quarter and 18% for the six months. And up 4% for the quarter and 2% for the six months without Philly Swirl. Soft pretzel sales alone were up 5% for the quarter and 4% for the six months. And sales of frozen juice bars and Italian ices were up 9% in the quarter and 7% for the six months without Philly Swirl. Handheld sales in the quarter decreased 5% to $4.6 million and 6% to $9.5 million in the sixth month period. ICEE and frozen beverages. Frozen beverage and related product sales were up 17% in the quarter and 11% for the six months. Beverage related sales alone were up 8% with gallon sales up 10% in our base ICEE business in the quarter and up 5% with gallon sales up to 6% for the six months. Service revenue for others was up 20% for the quarter and 16% of the six months. Consolidated. Gross profit as a percentage of sales was 29.8% in both year’s quarters. And for the six months was 29.3% this year. The gross profit percentage in this year’s quarter was driven higher by ICEE and offset by somewhat reduced margins and food service resulting from lower margin sales to schools and a continued decline in our handheld business and somewhat by higher manufacturing cost. Total operating expense as a percentage of sales increased slightly to 20.9% from 20.6% in last year’s quarter primarily because of increased advertising spending to support SuperPretzel in the retail supermarkets. Capital spending and cash flow. Our cash and investment securities balance decreased $9.4 million in the quarter to $216.4 million. We continue to look for and study possible acquisitions as a use of our cash. We have invested $115 million in mutual funds that seek current income with an emphasis of maintaining low volatility and overall moderate duration. Presently we estimate annual yield from these funds to be about 3.5%. During the year, we invested $13.2 million on fixed to floating perpetual preferred stock with an estimated annual yield of 5%. Our capital spending was $9.8 million in the quarter as we continue to invest and plant improvement and efficiencies in growing our business. We are presently estimating capital spending for the year to be between $35 million and $40 million. A cash dividend of $0.36 of share was declared by our board of directors and paid on April 2. We bought that 4,380 shares of our stock during the quarter at a cost of $444,000. Commentary. Our sales growth of soft pretzels and food service was 6% this quarter. Although sales to restaurant chains this year were about roughly flat last year, sales to school and convenience store chains were strong. Frozen juice bars and ice sales and food service were essentially flat. Handheld sales on food service were down again as we continue to face challenges in this business. Churros sales were up 9%, somewhat incredible considering the loss of sales to a major fast food restaurant last August. Churros sales continue to grow. Excluding that [ph] customer, Churros sales were up 28%. Bakery sales continue to be strong driven by sales to schools and co-packing business. Sales of soft pretzels in our retail supermarket segment were up a solid 5% for the quarter due to the recently introduced SuperPretzel Bavarian bread products. And frozen juices and ices were up 9%. And this essentially our slower season. Handheld sales in retail supermarkets were down 5% mainly due to lower sales to two customers. And ICEE and frozen beverages gallon sales were up a very strong 10% as sales to movie theatres and see stores continue to grow. Service revenue to others was up 20% in this quarter. This area of our business continues to perform excellent. Operating income increased $1.5 million in the quarter from a year ago with operating income in ICEE and frozen beverages higher by $3.5 million. And in food service, lower by $1.9 million. Operating income in food service was impacted by losses in our handheld business, shifted sales to lower margin school business and generally somewhat higher manufacturing cost. We’re working to correct and rectify each of these issues. Our estimated income tax rate was at 36.5% this year and last year for [ph] the quarter. We’re estimating a rate of about 36.5% in fiscal year of 2015. I thank you for your continued interest and now I will turn back to the listeners for any questions.
Operator: And thank you. We will now take questions. [Operator Instructions] There may be a delay before the first question is announced. If you are using a speakerphone, you may need to pick up the handset first before pressing the numbers. [Operator Instructions] And we have our first question from Jon Andersen. Please go ahead, Jon.
Jon Andersen: Good morning everybody.
Gerry Shreiber: Good morning, Jon. How are you?
Jon Andersen: I’m good. Thank you. How about yourself?
Gerry Shreiber: Good, Jon.
Jon Andersen: Congratulations. Congratulations on a good quarter. Yes, I guess I wanted to ask first about your kind of last comments, Gerry, around food service. Sales were up in the segment this quarter, but as you mentioned, the operating income was not. And you kind of called out the handheld business, the mix to schools, and also manufacturing costs, things that you’re working to rectify. I was wondering can you talk a little bit more about what’s happening in those areas and how we should think about operating income and food service going forward.
Gerry Shreiber: Well, product mix was a big, big part of it, all right? And we’re also faced with certain competitive issues in the convenience store chain and school food service channel. They’re being corrected, Jon. I won’t to look at these with any degree of permanency.
Jon Andersen: Okay, good. In terms of the Churros business. I mean, that was really, I guess, impressive particularly given the fact that you haven’t anniversarried [ph] the Taco Bell exit. So what’s going on there in terms of the strength that you’re seeing? Is this Oreo? Churros getting traction? Is this new distribution? That would be helpful, some color there.
Gerry Shreiber: It’s a combination, Jon. Oreo Churros which is a terrific product and we’re getting a lot of interest in it. We’ve really just begun to sell the last couple of months. And sales are running roughly at a 500,000 to 600,000 of new sales in the last two months. We think as we get a little bit further in the third quarter this will ramp up considerably as the product is getting great, great reviews and is getting great inquiries, and now we want to have to execute on that. But we have a long list of customers. It’s now spring. And they want it in the spring as the new offering. And Churros sales are growing overall. Even though we lost the Taco Bell business, roughly about last August, I think it’s noteworthy that this category is up for us despite the loss of the one big customer.
Jon Andersen: Yes, that’s a great performance. You mentioned - I thought it was interesting. You mentioned c-stores [ph] as a reason for strength I think both in the soft pretzel business and in the frozen beverage business. Is there something going on specifically with that channel to increase your presence there?
Gerry Shreiber: No magic [ph], just continued emphasis on it, and not so much cross selling either between our ICEE groups and food service group. But we have targeted the c-stores [ph] chains and that category as a way to increase sales. And it seems like we’re getting some traction there overall.
Jon Andersen: Excellent. Last one for me. Just on the Bavarian pretzel launch at retail, I suppose that’s still real early but is there any - you’ve seen any indication of how that product is performing and the sustainability of that? Thanks.
Gerry Shreiber: Well, one of the products is doing better than the other. So I guess that’s a good thing versus a negative. And you were one of the first people to try that product at about a year ago, so I hope that the compliments that we got from you at that event you had, we’ll be able to spread that around the country real quickly.
Jon Andersen: Yes, it’s a great product. Thanks for all the information. Appreciate it, guys.
Operator: And thank you. [Operator Instructions] And our next question comes from Ryan Rapan [ph]. Please go ahead, Ryan [ph].
Gerry Shreiber: It’s Brian [ph] or Ryan?
Unidentified Analyst: Brian [ph].
Gerry Shreiber: That’s what I thought, Brian [ph].
Unidentified Analyst: Yes, yes, okay. All right, all right, you got the right guy. All right. Hey, Gerry, talk a little bit about as you enter 2015 kind of the grocery store retail space, kind of shelf positioning, maybe advertising pressures, maybe encroachment by private label, kind of as you go into 2015, what does the grocery store side look like?
Gerry Schreiber: Let me turn this over to Bob Pape. And Bob is our top dog in retail and he could comment directly for you.
Bob Pape: From a competitive standpoint, there’s obviously a lot of activity that’s being generated in the store. One of the things we did to invest in the business this quarter was initiate some consumer advertising which helped support the brand. And also, we’re finding that private label although still a factor is something that we see is on a bit of a decline, that strategies by the customers are changing. So we want to make sure that our brand is supported adequately and that we continue to remind consumers to pick our products up.
Unidentified Analyst: Bob, let me ask you specifically, what is your sensitivity or what do you know [ph] the sensitivity is to the consumer elasticity? Are they willing to pay up a little more or is it still a very strong value consciousness?
Bob Pape: I think value for the experience is important. We have a good high-quality product for a fair price, and I think our consumers are enjoying that with our products as it stands now. They’re popularly priced and they represent a value to the consumer.
Gerry Shreiber: And not only that, Brian, but we got strong brands. SuperPretzel is a strong brand. Luigi’s is a strong brand. ICEE is certainly a strong brand. And we’re building on these brands. We don’t have all of our horses running in that category but we’re getting them set.
Unidentified Analyst: Okay. Tell me, there’s certainly been a lot of discussion about which for you would be a tailwind with some of the commodity deflation. Are you guys seeing any benefits from a cost-of-goods-sold standpoint be it eggs, flour, sugar, coco?
Gerry Shreiber: Well, let me take the [indiscernible] part of that question first. So the - your second commodity, flour, I think we’re going to be benefitting the second half of this year on that because we book out contracts and prices have kind of like modified. Everything else is pretty flat overall particularly when you add in packaging cost. So this is certainly a lot better position than it was perhaps seven years ago, six years ago in 2008 when everything was going a little crazy [ph], so we’re reasonably satisfied right now.
Unidentified Analyst: Okay. I’ll ask one more and get back in line, Ger. From the standpoint of kind of capacity utilization, one, kind of what are you running across all your plants? I know you’ve got certainly a significant amount. And then two, where might your CapEx be spent in 2015 on property, plant and equipment?
Gerry Shreiber: Well, I’m due to say - right, we’re running at about 70% capacity and that may, depending on the time of the year and on certain product launch or promotions, that may move up or down 3%, 4% in there. We are planning a new line. We’ve installed a couple of new lines in the past years. In the past couple of years, we’re planning a new line in Pennsauken which will give us a lot more flexibility. And that should be completed, I would hope by this time next year. And we’ll talk more about that but I think it’s going to give us not only flexibility, it’ll give us some efficiency, too.
Unidentified Analyst: Okay. Thanks, Ger.
Gerry Shreiber: Thank you.
Operator: And thank you. I am standing by for further questions. [Operator Instructions] And we do have a follow-up question from - I’m sorry, Brian Rapan [ph]. I’m so sorry, Brian. Here you go.
Unidentified Analyst: Okay. That was in short queue. Let me ask you, specific to you mentioning Luigi’s, the freezer case, Ger, is getting - there’s a lot more, certainly, competition be it super premium ice creams, you’ve got your whole pomegranate flavoring and EDs [ph], and there seems to be at least up here in the Great Lakes, Mama Tasia’s [ph], there’s another frozen ice brand, a third brand that I’ve seen. Just talk a little bit about some of that frozen novelty, specifically in the retail side and how much pressure you’re seeing. It seems to be an awful lot of competition and a lot of new flavor introductions.
Gerry Shreiber: Brian, actually, there is competition and some very good and sizable companies like Nestle and Unilever. We’re there. We’re the number one selling Italian water ice in the country. And our ICEE brand is there, and ICEE has a brand and an equity all to its own. So overall, competing in that category and I think that the strength of our brands as well as our flavor offerings [ph] will compete very well. We expect to have an improved year this year in the frozen novelty category. Am I right, Bob?
Bob Pape: Absolutely, Gerry.
Unidentified Analyst: All right. All right. Let me ask, Ger, and certainly, it’s a question that comes up and you do a good job answering it every quarter, about certainly what you’re seeing on the acquisition front. And I’m wondering as you guys have done a - you’ve done a fabulous job of buying some of these restructurings and being very price-sensitive and taking the local recipes to regional and national distribution, what are you seeing in the deal market? And is there any aptitude, Gerry, with given how large you are now that maybe you would be shopping for a little larger deal or is it still about being able to grow something organically and it doesn’t really matter what size the deal is?
Gerry Shreiber: Brian, yes to both your questions. We’ve looked at some things which are very sizable compared to the things that we’ve done in the past, from $100 million up to $200 million. We look at them very carefully, and again, we want - don’t want to take undue risk and buy something and then have to worry about it afterwards that it doesn’t fit or we can’t integrate it properly. But yes, we’re looking at things. They’ve become more pricier for one reason or the other. We have not executed on that but it’s not for our lack of trying. And I said we’re studying a couple of things, and we still are. We continue to look for acquisitions as a good use of our cash given our conservative and well-managed efforts.
Unidentified Analyst: Okay. That’s all for me. Thank you much.
Gerry Shreiber: Thank you.
Operator: And thank you. We have a few more questions in queue. Our next question comes from Akshay Jagdale. Please go ahead.
Gerry Shreiber: Hello, Akshay. How are you?
Akshay Jagdale: Good. How are you doing?
Gerry Shreiber: Good, good. Thank you.
Akshay Jagdale: For a minute, I thought I wouldn’t get to ask a question.
Gerry Shreiber: It can’t happen.
Akshay Jagdale: In any event, so I just want to follow up on the mix issue. I want to make sure I understand it correctly as it relates to your margin performance. So it seemed like frozen beverages and frozen juices and ices, on a consolidated basis, represented more of your shares [ph] this year than a year ago. And I believe overall that’s what’s driving sort of margin profile of the business not being as high as I guess we would’ve thought right. Is that what you were referring to in terms of mix negatively impacting margins? Because you think with the solid performance you had in soft pretzels and Churros that margins would be great.
Gerry Shreiber: Yes. Look, maybe I have to back up. Maybe I didn’t explain myself. The margins in school food service are less, in some cases, significantly less than what they are in our regular food service core products. And that had an impact on our food service profits. The margins on ICEE are good and have always been good, and ICEE particularly had a tear-them-up quarter where they were clicking on - matter of fact, they’re clicking on all eight cylinders and we hope, well, hopefully, that will continue.
Akshay Jagdale: Okay. So just following up again on M&A. Can you talk a little bit about what’s - if you were to sort of prioritize or rank the issues that have prevented you so far from acquiring something, is it valuation, is it fit, is it size, I mean, those will be sort of the three top things that I would think about but - or maybe it’s just the availability of assets. It didn’t seem like the last one is the issue. Seems like you’ve been looking at a lot of assets. But what would you say generally has prevented you in the last couple of years from making a larger size acquisition? Is it generally valuation or fit?
Gerry Shreiber: Besides my CFO, Dennis, who practically - very, very conservative discipline not only on me but my whole team, it really has not been size. And there has been discussions around multiples. You’re aware that we’d like to take the dollar and squeeze the green off of it. And then after we do acquire something, build it and integrate it. But the one or two things that we have been looking at for some time have not been dealt to others and we’re still in the market. And hopefully, we’re going to be able to execute on our plan for acquisitions. In the meantime, we’re building up some cash. We’re returning it to shareholders and we’re investing it in safe, conservative instruments, so that’s not so bad.
Akshay Jagdale: Not at all. Yes, I mean, your soft pretzel and Churros performance, especially this quarter, was nothing short of outstanding. So can you talk a little bit more about Churros? And I know you mentioned the Oreo Churros. Can you put that into context from what you’re hearing from consumers? I mean, how does that compare to when you first launched the Churros, the Taco Bell, for example, I mean, obviously, that ended up being a huge success, too, but what are the early indications? Are you more or less optimistic about that relative to some of the more recent successes you’ve had?
Gerry Shreiber: Well, when we first launched the regular Churros in Taco Bell, we’d launched in roughly 5,000 or 6,000 stores, and that was a matter of multiplication, so much time, so many stores within a 60-day launch period. This is a little bit different. The launch is - we have a license from Mondelez, Oreo is well, well-known. On a positive side, we don’t have to explain what an Oreo is to a - nationwide. Years ago, and even more recently, we had to explain to people what’s a churro. What is a churro? So I think overall we might have a bigger tie to fill, but it’s what it takes smaller bites in there as it’s going to be added to the menu of existing operations. But I think overall by this time next year we’ll really have something to crow about with Oreo Churros.
Akshay Jagdale: Okay, one last one. More sort of bigger picture, obviously, your sales are more exposed to what I would call discretionary spending than most other food companies that we follow given your exposure to movie theatres, ball parks, et cetera, and all these c-stores. So could you - would you say that lower gas prices and the corresponding incremental spending from those savings has - maybe up to this quarter and also has weather like lasting [ph] last year’s harsh winter also helped you a little bit this quarter? I know it’s hard - always hard to quantify that, but do you think that those factors have helped you a little bit in this quarter?
Gerry Shreiber: You’re right on that, in which [ph] this was a tough winter. From January, February, March, we had more snow and more snow dates here in the East than I can remember the last couple of years. But there’s no question that the lower price of fuel - so the average person can get in his car more often and drive somewhere, and then they spend more. And if they can go in and they can buy a gallon of gas for less than $3 or $2.50 or $2.60 in there, they’d be more likely to buy a doughnut, a pretzel, an ICEE, or one of the products we’re selling at c-stores. And there’s been more emphasis buying us, and our team [ph], not only the past six months but the past three or four years that are bearing fruit now in the convenience store channel.
Akshay Jagdale: Okay. I’ll pass it on. Thanks.
Operator: And thank you. Our next question comes from Jonathan Keaney [ph]. Please go ahead.
Gerry Shreiber: Hello Jonathan. How are you?
Unidentified Analyst: Oh, I couldn’t be better, Gerry. How are you?
Gerry Shreiber: Good. Thanks.
Unidentified Analyst: I wanted to ask about the hand-held business. A little decline, it’s had its ups and downs. Do you have a lot of available capacity there? And could you tell us a bit about - I know it came with quite a bit of capability and it’s been on an up and down ramp. Could you tell about the potential there and what you see over the next year?
Gerry Shreiber: I want to be careful about the potential, and I appreciate you saying we’ve had a lot of ups and downs with it, because they’ve mostly been downs. And I say that not with tongue and cheek, I say that with a little bit of Ms. De Vil [ph], all right. We’re not pleased with what’s happening, and we’re addressing certain things. We have plenty of capacity - plenty of capacity and two exceptional USDA plants. And we’re looking at ways to manage that capacity better and certainly to grow the products better. And I would be less than candid with you and everyone else if I said we have all the answers. But trust me, we’re working very, very hard to correct it.
Unidentified Analyst: Okay. One other question I guess I had. You said - and I’m sorry if you answered this elsewhere, but you gave us a figure for what you were doing in schools and convenience stores together versus food service. Could you - were schools or - could you give us a number what your total convenience business was up roughly?
Gerry Shreiber: I don’t have that at the tip of my hand. I know our schools business alone was up $6 million for the period which is significant. And more importantly, our school business, which was challenged over the last couple of years by changes in formulation and restriction, seems to have recovered in the past six months or nine months. And we have some products that were made especially for schools that are being widely accepting. And with the exception of today in Baltimore where all the schools are closed, I am fairly optimistic about our school food service business and equally optimistic that we can build on our c-store growth that’s been evident in the past few months.
Unidentified Analyst: Got you. Okay. Thank you very much.
Gerry Shreiber: Thank you.
Operator: And thank you. Our next question is from Brian Rapan [ph]. Please go ahead.
Unidentified Analyst: Yes. Gerry, just to follow up on that - you talked a little bit about formulations and everybody knows about the Michelle Obama wanting the broccoli on a stick. The problem is some kids don’t eat it. When you look at some of the formulation stuff that you guys have developed for that school services, has the success been meeting school district menu constraints? Or has it actually had good unit sell through and the kids are eating it.
Gerry Shreiber: Yes, it’s meeting the requirements, all right? And the sell through and eating part of it is getting better and better. Because at first, we were - and no surprise, you can make it and you can have all of this vitamin and the sugar out in all this, and kids don’t eat it, that gives us another issue. But we believe we’re overcoming that hurdle and we’re getting more participation from the districts and the schools in the program.
Unidentified Analyst: Okay. And then just one more, Gerry. From the standpoint of being kind of the snack food category, when you’re looking at making acquisitions, when you’re looking at adding capacity to plants, there’s then [indiscernible] some fairly devices, products [ph], political situations between states in coal business. You talked a little bit about Baltimore this morning. States like Texas, Florida, states like the Carolinas, Wisconsin being more coal business versus states like New York, Illinois, Maryland, and California where you see kind of an [indiscernible], they are more of an anti-business. Does that at all from a state standpoint determine where you put acquisitions or make acquisitions or put CapEx? Or is it just a non-event?
Gerry Shreiber: Not really, Bryan. We look at these kind of things, but hey, we’re a New Jersey based company. We’re very happy here. We’ve been headquartering in Pennsauken for 43 years plus seven months, notwithstanding that New Jersey has some of the higher tax rates in the country. Our business has performed here. We’re also in California. We also have a plant in Texas. We have 16 different operating plants today. And some of them have come - a lot of them have come through acquisitions. And I believe and we believe that if we execute well and grow our business solidly, that the states and the environment will have less of an impact.
Unidentified Analyst: All right. Keep up the good work. Thanks.
Gerry Shreiber: Thank you.
Operator: And thank you. I am standing by for further questions. [Operator Instructions] And we have our next question from Francesco Pellegrino [ph]. Please go ahead.
Gerry Shreiber: Hello. Good morning. How are you?
Unidentified Analyst: Hey Gerry, how’s everything going?
Gerry Shreiber: Good. I finally called you back last night. It was after 8 o’clock and I got - they wanted a series of numbers for me to connect to you, so I finally just gave up knowing that we would talk today.
Unidentified Analyst: You gave up on me?
Gerry Shreiber: No, I did not. But around 8 o’clock, all right, could not get through to the phone number that I had for you.
Unidentified Analyst: All right. I appreciate it. But hopefully I can get my question through to you now. A lot of the topics I wanted to discuss were already covered. I just wanted to hit on one thing. As the company is sitting on a lot of cash, I know this isn’t a question about what are you guys going to be doing with your cash on hand. But it seems as if the mutual fund you guys are sitting on right now - I see that you’re sitting on some unrealized losses that total $3.1 million. Could you just maybe remind us of what mutual fund you guys are sitting on? And you guys are a very conservative store. When you buy a niche product, you really do your homework on the company. You don’t get into any industry that you can’t dominate, so it’s a really typically conservative company. But you’re sitting on some really risky mutual funds that sort of have exposed the company to some significant unrealized losses. Can you just give us a little bit more color in regards to what’s happening right there?
Gerry Shreiber: I will. But keep in mind, we’re getting our yields on a regular basis in here. So the risk itself may be - let me turn this over to Dennis Moore.
Dennis Moore: Yes. You’re correct in that there is a degree of risk. And some of the funds are bond funds, some are floating refunds, which hopefully would mitigate [ph] the risk if interest rates do begin to rise. But we have been earning in excess in dividends, in excess of the decrease in the value of the funds. So from an overall standpoint, the way we look at it is, well, we’re ahead of the game by going into this investment process, I guess almost two years ago. Overall [indiscernible] and the value of the content decline. You’re right, there is some degree of risk that we’re [indiscernible], but we’re ahead of the game.
Unidentified Analyst: Your point to the consistent yields makes sense, but right now this thing is growing to a point where it can really more than offset your consistent yields. And look, if you’re looking to make a bet that interest rate are going to rise, it almost seems as if it would be a poor natural hedge [ph] because this is accompany that performs relatively well when interest rates rise because the consumers still - their purchasing consumption habit still go towards your product.
Gerry Shreiber: Francesco, let me interrupt for a second. We’re not looking to take big risks with any - we’re not going waste to park some cash and immediately until we either make a big acquisition or provide another use for this.
Unidentified Analyst: If you’re looking to have a use for this cash and if you guys haven’t done a deal in more than I would say about 12 months, sooner or later you’re going to have to access this cash. And it looks like you’d have to close out this $3.1 million loss sooner rather than later.
Gerry Shreiber: Well, [indiscernible], yes. And you might be right. But if, and when we do that, we’ll be saying okay, well, we have to realize this loss. But then let’s say [indiscernible] but then we can also say, well, overall, the funds generated, depending on when it happened, $6 million in income over the period. So we look at it as we are ahead of the game even though we might have to take that loss in one bigger period.
Unidentified Analyst: Okay. Makes sense. I got no further questions. I’ll jump back in queue. Thanks again guys.
Gerry Shreiber: That’s all you have Francesco? I am disappointed.
Unidentified Analyst: I was a lot more eager to talk to you last night. And then all my questions got asked right now. So this is the best I can do right now, Gerry. But thanks again.
Gerry Shreiber: All right. Take care.
Operator: Pardon me, Francesco, we have no further questions in queue. If you did have another question, you could go ahead.
Unidentified Analyst: That’s it for me. Thanks again.
Operator: Thank you very much. I’m standing by for further questions. [Operator Instructions] And we have no further questions at this time. I will now turn the call back over to Mr. Shreiber for closing remarks.
Gerry Shreiber: Thank you, Vanessa. And I want to thank everybody for joining us on this conference call. And I look forward to our next quarter’s conference call with you and again reporting good news. Take good care. Bye now.